Karin Larsson: Hello, and a warm welcome to the Epiroc Q4 and Full Year 2025 Results Presentation. My name is Karin Larsson, Head of IR and Media here at Epiroc. And by my side, I have our CEO, Helena Hedblom; and our CFO, Hakan Folin. As always, they will briefly present the results before we do a Q&A session. You know the drill. Helena, please go ahead.
Helena Hedblom: Thank you, Karin, and hello, everyone. So I will start with the highlights for the year. So with 79% of our orders deriving from mining, I'm glad to say that the mining demand remained robust in 2025. The customer activity was strongest in gold, copper and zinc, while nickel was softer. Of our mining exposure, gold and copper now together represents 65% of orders. In the year, our customers continue to prioritize brownfield expansions and productivity upgrades as well as exploration, especially in gold and copper. Infrastructure, which is 21% of our orders received was more mixed. Drilling rigs and equipment for larger civil engineering projects showed stable demand, whereas attachments for use in construction work remained weak. On a positive note, the destocking among distributors for attachments came to an end towards the end of the year, and now we are positioning us for growth. Despite currency headwinds weighing on orders, revenues as well as profit, we managed to grow our orders organically in 2025 by 7% to SEK 63 billion and revenues by 2% to SEK 62 billion. And the adjusted operating margin for the year was 19.6%, somewhat lower than in the previous year, 19.8% and is explained by tariffs, product mix and some inefficiencies. So let me, however, be clear, in 2025, we had a strong focus on cost savings and increased efficiency. And in some areas, such as in attachments, we have done well, but in others, we are still working on improving. During the year, Epiroc delivered many, many innovations that enhance safety, productivity and sustainability for customers worldwide, reinforcing our leadership in automation, electrification and digitalization. And some are built on proven solutions like the new Epiroc PCD drill bits, which is the next generation of the popular Power X bit. And in this new version, we have seen customers going from 7 meters drilled per standard bit to 400 meters per bit and often more than that. And with an increased use of automation within drilling, we anticipate good future demand for these type of products. Other innovations that are not upgrades, but rather groundbreaking are these. So in 2025, we completed the conversion of the Roy Hill mines mixed fleet to driverless operation in Australia, creating the world's largest OEM-agnostic autonomous mine. So what began as a bold vision is now a reality. 78 haul trucks and around 250 ancillary vehicles operate now autonomously 24/7 in a mature production scale solution. Underground, we advanced mixed fleet automation at Newmont's Cadia mine also in Australia, fully automating one production level, 1,200 meters below ground using our OEM-agnostic deep automation system. And this integrates loaders, rock breakers, water cannons and inspection robots into a single platform, enabling complete remote operations from a surface control room. And the results in both these projects have been impressive, improved safety by removing personnel from dangerous zones, higher productivity through continuous operation and record-breaking daily tonnage almost every month. At year-end, we had more than 3,900 driverless machines, Epiroc and non-Epiroc machines in operation, which is an increase of 13% compared to 2024. Moving on to electrification and starting with a highlight that includes both automation and electrification. So in 2025, we won our largest order contract ever, SEK 2.2 billion over 5 years. We will deliver around 50 fully autonomous and electric surface blasthole rigs to Fortescue in Australia. And this includes cable-electric Pit Vipers, 271 E rigs and battery-electric SmartROC D65 BE rigs. And these driverless machines will be operated remotely from Fortescue's integrated operations center in Perth, which is more than 1,500 kilometers away and will increase productivity while also reducing carbon emissions. I would also like to highlight the 5-kilometer battery trolley line inaugurated at Boliden's Rävliden mine in Sweden based on our Minetrauck MT42 SG trolley solution, developed in close collaboration with ABB and Boliden. This innovation is delivering remarkable results. Productivity is up 23%, ramp speeds are up 50%, maintenance costs down by 25% and diesel consumption reduced by 80%. And the energy regeneration during downhill hauls further boost efficiency. Production officially started during the year and interest from other customers is high. In total, our electrification revenues amounted to 3.8% of group revenues in 2025. There are 40 mines globally that have ordered our BEVs, battery electric vehicles and the majority of our BEV orders in 2025 came from these pre-existing customers. They have seen that the electric solutions bring many advantages, including increased productivity as well as reduced ventilation cost. For example, in the Assmang Black Rock mine in South Africa, our BEV fleet has led to 11% more tonnes per hour and has reduced energy cost by 18%. So a final slide then of innovations in 2025 before moving into the quarterly results. So safety is at the core of everything we do. And in 2025, we took an important step forward by partnering with Hindustan Zinc to implement a digital collision avoidance system in all their mines in India. And the solution combines advanced sensor technology, real-time positioning and intelligent alerts to ensure operators have full situational awareness. It's designed to integrate seamlessly with Epiroc's existing automation and digital platforms, creating a connected ecosystem that enhance both safety and productivity. And on the attachment side, we have successfully launched the Epiroc Insight, a telematics solution engineered to transform fleet management of attachments. So by combining advanced asset tracking with real-time data insights, users get better control and visibility across their fleets. And already now, we have more than 5,500 connected attachments worldwide with more than 400 customers. And for us, it means valuable insights to further improve the product as well as to help our customers with proactive maintenance. So looking into the fourth quarter, we delivered a strong performance driven by robust customer activity within mining. Our orders received grew organically by 11% and mining activity remained high, particularly in gold. Organic equipment growth reached 22%, underscoring strong momentum. And our large mining equipment orders amounted to SEK 670 million compared to SEK 820 million last year, signaling continued widespread underlying demand. And also our service grew well organically at 6%. The growth in exploration demand was high, driven by a combination of a stronger exploration market and the leading offering of advanced exploration drill rigs and drilling tools. And demand in infrastructure and construction remained stable with a healthy activity level for larger civil engineering projects, whereas the demand for attachment was seasonally low. Our revenues grew 4% organically, and our adjusted operating margin came in at 19.6% compared to 19.7% last year. So despite currency and tariff headwinds, we managed to deliver an organic contribution of 0.6 percentage points. So we have been and we are taking actions to safeguard profitable growth, and I'm glad to see that our progress -- the progress in the quarter. So looking deeper then into orders. In total, orders declined 1%, but the decline is fully explained by currency. So organically, our orders increased 11% to almost SEK 16 billion. Again, within mining, customer activity remained high, while demand from infrastructure and construction customers remained stable. Sequentially, compared to the previous quarter, group orders increased 7% organically, driven by mining. Our aftermarket represented 63% of revenues in the quarter, which is the same as in previous year. We had a good demand for rock drilling tools and service for mining, while the demand for attachment used in construction was seasonally weak. As we are mainly exposed to the Northern Hemisphere in our attachment business, the first half of the year is normally stronger with Q2 being the best, while Q4 is normally one of the weaker quarters. Within service, which represents 41% of our revenues, we achieved the highest growth within our traditional parts and service business. In total, the organic service revenue growth was 4% in the quarter. Historically, since 2018, we have managed to grow our service business revenue by 8% per year, and we aim to return to these levels. We have had -- we have a large and aging fleet. It now sits at 8.6 years on average and an increased technological height on the fleet, which supports a good foundation for growth. In addition, we have initiatives in place to capture more of the customer share already in 2026. By working more precisely with pricing, leveraging our alternative offering as well as find other ways of sourcing, then we can increase this share. And if you are new to Epiroc, let me briefly explain the customer share. It's the proportion of Epiroc machines that we serve -- that we serve in some form or another. In the last few years, we have had a customer share north of 50%, whereas roughly 1/3 of the fleet has an actually service contract with us. So there is, in short, good potential to grow. Moving on to operational excellence. Over the past year, we have navigated a complex and demanding external environment. On almost daily basis, geopolitical decisions impact global trade. So we keep on taking decisive actions to strengthen our resilience and drive profitable growth. The negative net tariff impact on our operating margin was just below 0.5 percentage points in Q4, and our mitigating actions include optimizing logistics and distribution flows, leveraging our global manufacturing footprint and adjusting our supply base, including key inputs like steel. Of course, we're also implementing price increases to compensate. And we pay close attention to tariff news and regulations, and we are ready to act if or when things changes. We are also consolidating customer centers and production sites, and we have during 2025, consolidated sites in Germany, in U.S. and in South Africa, and we continue to consolidate. And this year, we are moving the tools manufacturing site in Canada to Mexico. So to become even more efficient in production, we invest further in India, which is now our fifth largest market when it comes to number of employees. We have more than 1,300 employees in India, and we are creating a global production and R&D hub for both surface and underground equipment. But it's not only about producing. India is a rapidly growing domestic market, and we are already growing at high double digits there. So our increased footprint can safeguard this growth and our deliveries onwards. Moving on to next slide then, people and planet. So safety first, of course, and we have had good progress during the year on safety. Among our 19,055 employees, the total recordable injury frequency rate decreased yet again to 3.9, down from 4.3 last year. And much of our focus is to increase safety awareness in our new entities as well as for external workforce in production and service. On the environmental front, we achieved a reduction in emissions in operations driven by renewable energy initiatives. However, transport-related emissions rose due to the increased air freight and route adjustments linked to tariffs. So Hakan, would you mind going through the financials?
Hakan Folin: Yes, Helena, of course, thank you. Starting on a group level, our group revenues decreased 7% to SEK 16.1 billion, and that's an organic increase of 4%. And here, we have currency impacting negatively by 11%. Aftermarket represented 63% of revenues in the quarter, which was the same level as in Q4 2024. So no mix effect between equipment and aftermarket. The operating profit and EBIT amounted to SEK 3.2 billion, and this includes item affecting comparability of plus SEK 58 million, mainly relating then to an insurance settlement gain, but also cost for efficiency measures. And finally, we had a change in provision for the share-based long-term incentive program of minus SEK 4 million. Our operating margin was unchanged at 19.9%. The adjusted operating margin, then excluding item affecting comparability, decreased somewhat to 19.6% to compare with 19.7% in Q4 2024. And as Helena briefly mentioned, the margin was negatively impacted by tariffs with almost 0.5 percentage points. And this negative impact, despite then a lot of efforts ongoing to mitigate will remain in 2026, although at somewhat lower levels each quarter. However, despite the headwinds, we managed to achieve an organic profit improvement of 0.6 percentage points in the quarter, as you can see in the bridge on the right of the slide. If we then move on to the business area Equipment & Service. Orders here amounted to SEK 12.3 billion, which is actually a strong 13% organic increase and currency impacted negatively by 12%. And to repeat what Helena already said, there was a strong underlying growth within equipment, where we had plus 22% organic orders received increase. And the large orders, the ones that are above SEK 100 million were at SEK 670 million this quarter, which is actually down from SEK 820 million in Q4 2024. So with lower -- with such an increase, but large orders actually at a lower level, it indicates a really healthy and widespread underlying demand. For service, we have an organic increase of 6%, and we have here the strongest growth achieved in the traditional service operations. We don't often speak so much about regions, but today, I would like to do that. And in local currency, orders received increased with double digits in North America, in Asia, Australia, in Europe and in South America, so in most our geographies, while they actually decreased in Africa and Middle East, but that was against quite tough comparables. And the strong development in North America, which was up 29%, was supported by a large order of automated equipment, including then battery equipment. The nickel exposure, which impacted us quite negatively in the first 3 quarters of 2025, still remain in Q4 and still remains despite then the recent increased mineral prices for nickel. We still have many customers with mines under care and maintenance due to these depressed nickel prices. However, in 2026, we will meet easier comps throughout the year. If we look sequentially, we had an 8% orders received increase organic, and this was driven then by the mining. If we then turn into revenues and also profit for Equipment & Service. For revenues, we had SEK 12.5 billion, corresponding to an organic growth of 4% and also here then a rather negative impact from currency, minus 10%. And the organic increase in revenues for both equipment and service was 4%, respectively, which then means that the mix is the same as it was in Q4 2024. EBIT for Equipment & Service was SEK 2.7 billion, includes SEK 30 million in item affecting comparability in cost for mainly efficiency measures. If we move to the right-hand side of the slide, we have then the adjusted EBIT, that was SEK 2.8 billion and a margin of 22.1%. This is down from 23.6% last year. And here, we have a similar margin pattern as for the group, where tariffs are burdening the EBIT -- sorry, both currency and tariffs are burdening the EBIT and the margin in a negative way. If we instead compare to the previous quarter, so we compare with Q3, we had a small increase on the operating margin for Equipment & Service. Moving on then to the other business area, Tools & Attachment. Orders received here decreased with 7%, negative 11% coming from currency, which then implies that organically, we had a 4% growth for the business area. And in total, orders for Tools & Attachment were SEK 3.6 billion to be compared then with SEK 3.9 billion in the fourth quarter the year before. The organic growth was mainly driven by mining demand. As anticipated, the demand for attachment was seasonally weak and again, still being at a subdued level. Sequentially, we had a 1% increase in organic orders received. Next slide, and we're now at Slide 15. Revenues for Tools & Attachment increased 4% organically and were SEK 3.7 billion. And the operating profit, it increased actually as much as 65% to SEK 537 million, which is up from SEK 326 million in the previous year, and this is the highest EBIT ever achieved in this business area. The margin came in at 14.9% versus 6.4% (sic) [ 8.4% ] in the previous year, but we did get some help from an insurance settlement gain relating to the acquisition of STANLEY. So what was this then? Well, when large acquisitions are made, it's often standard that you have insurance for uncertainties in the valuation of the acquisition. And in this case, we could use this in our favor. If we instead look at the adjusted profit, then the margin was 12.3%. We compared with 8.4% a year ago. And this is then despite tariffs, currency and also continued weak construction market. The organic contribution to the margin was 5.2 percentage points. And much of this improvement is due to the hard work in adjusting the cost base within Attachments and also within STANLEY Infrastructure. Again, market is still at a low level, but what we see is that we're well positioned to capture market growth and also market share once the construction market turns more positive. And while we are on Tools & Attachment, I would like to mention already now that this business area has quite an exposure towards tungsten carbide, especially in tools. And the prices for tungsten have more than doubled in 2025. And even if the financial impact in Q4 for us is still low, we are anticipating a margin headwind in 2026 of a few tens of percentage points for this business area. Mitigating actions are already in place. For example, we have accelerated our drill bit recycling program. And we already communicated towards our customers that prices will be impacted, and we are working proactively with suppliers, both on price and on supply. Leaving the business areas and moving back on group level and coming to cost, net financials and tax. In total, the cost for admin, R&D and marketing were 3% lower, and this is due to lower expenses within marketing, while R&D increased somewhat. In percentage of revenues, it was 16.5% versus 15.9% last year, and we are continuously working on being more efficient on all of these cost items. Net financial items came in at SEK 115 million, which is meaningfully lower than last year. Explanation is partly due to lower interest net, but also due to exchange rate differences on interest -- on net financial items. We had a tax expense in the quarter of SEK 742 million, which is very much in line with last year and corresponds to an effective tax rate of 24.0% in the quarter, which also is then in line with our guidance of between 22% to 24%. Moving on to the cash flow. Our operating cash flow was strong at SEK 2.6 billion, however, clearly lower than the previous year's record level, which was SEK 4 billion in 1 quarter. In that quarter, we had more cash released from the working capital, but also in this quarter, we had somewhat lower profit as well as a bit higher paid taxes. The cash conversion rate is now 12 months rolling at 90%. It's not at the peak we had in last quarter of 105%, but still, it's at a very solid and good level for a company which has a quite strong organic growth. And then part of the cash flow, of course, is the development within working capital. If we compare to the previous year, net working capital decreased by 9% to SEK 22 billion, down from SEK 24.3 billion. However, if we exclude the effect of currency, the net working capital actually increased somewhat due to increased inventories, partly offset then by increased payables. However, what I find most relevant is to look at our working capital in relation to revenues. And in the last 12 months, it has decreased to 36.9% versus 37.4%, which means we are using the working capital in a more efficient way now than we were a year ago. Next slide then, #19, on capital efficiency. Our net debt decreased to SEK 11 billion, down from SEK 14.8 billion last year and then, of course, supported by our robust cash generation. Our financial position is strong. We have a net debt-to-EBITDA ratio of 0.73, which has improved from the end of 2024 when it was 0.93. Return on capital employed was 18.9%. It's down from 20.6%, and this is explained by higher intangible assets, including goodwill and also somewhat lower profit. And just as a reminder, these are rolling 12-month figures. At year-end, we had a cash position of SEK 9.6 billion, and I'm sure you wonder now what we will do with our cash. First of all, we will keep on investing in organic growth. That is a key priority for us. Then we will do bolt-on acquisitions close to our core. We have not been so active in 2025 on the acquisition front. So it's fair to assume then that there will be a higher activity in 2026, but remaining close to our core in the businesses we know best. And finally, we will distribute cash through regular dividend to our shareholders. And that brings me to my last slide of today on the dividend. And here, the Board of Directors proposes to the Annual General Meeting an ordinary dividend to shareholders of SEK 3.80 per share, which is the same as last year and equals SEK 4.6 billion in total. It also corresponds to 53% of our net profit, which is in accordance with our dividend policy. And the dividend policy says we should have stable or increasing dividend and it should be half of the net profit over the cycle. So very much in line with our policy. Dividend is proposed to be paid in 2 equal installments with the record date of May 7 and October 19 this year. And with that, thank you, and Helena, back to you.
Helena Hedblom: Thank you, Hakan. So let me finish then with some highlights from Q4. So we had a strong last quarter and achieved 11% organic order growth. For equipment, we had an even higher organic growth of 22%, high growth in demand for exploration, driven by a combination of a strong exploration market and a leading offering. Health activity in larger civil engineering projects and stable but seasonally low demand for attachments and organic contribution to the margin despite currency and tariff headwinds, indicating that our efforts are starting to yield results. And what do we do expect onwards? Well, as we enter into 2026, we are well positioned to capture growth. Mineral prices are high for our main commodities, copper and gold. We are exposed to attractive performance-critical niches where our equipment and aftermarket makes a positive difference for productivity. Our customers show great interest in our solutions for automation, mixed fleet automation, digital safety solutions as well as for electrification. We have a comprehensive and market-leading offering within exploration and we have committed employees who make a positive difference. So in the near term, we expect mining demand to remain high, while demand from construction customers is expected to increase somewhat from a low level. So Karin, over to you.
Karin Larsson: Thank you, Helena. Thank you, Hakan. So before we move into the Q&A session, I'd like to say 2 things. First, a big thank you to those of you that answered our analyst survey. Your input is much appreciated, and we will do our best to improve further based on your input. For example, and this leads me to my second point, we will try to provide more information on our margin progression at our CMD in June. It's going to be hosted in Örebro on June 8 to 9. And if you have not yet signed up, please do. The seats are filling up rather quickly. And for your information, Volvo AB will also host its CMD in -- when we do it, it's going to be on June 10 in Eskilstuna. It's just an hour away, and we are coordinating the logistics to make it easy and worthwhile to attend both events. So without further ado, let's begin the Q&A. Please keep the questions short. And operator, you may open the line. Thank you.
Operator: [Operator Instructions] The next question comes from John Kim from Deutsche Bank.
John-B Kim: I'm wondering if we could stay focused on margins for a second. Can you help us unpack the drop-through margins you're seeing in E&S and how we could think about the cadence of those as we go through kind of cost efficiencies in '26 and perhaps '27?
Hakan Folin: You said E&S, right?
John-B Kim: Correct.
Hakan Folin: Okay. So what we see in E&S then if we compare with previous quarter, we see a slight improvement. We had -- and that improvement also includes then a positive organic flow-through. If we compare with previous quarter, we had somewhat worse mix within E&S because we had more equipment compared to service. But on the other hand, there are some of these efficiency actions that we are taking that are starting to yield some results as well within Equipment & Service. If we compare with last year, it was -- if you exclude currency then it was roughly the same. We have somewhat negative -- sorry, not roughly the same. If we exclude currency then we had also a negative organic flow-through. What I was going to say is that it was roughly in line with the headwinds that we are seeing from the tariffs. So I think we had 0.6% right, in negative organic development, and we have said that we have roughly 0.5 percentage point from the tariffs.
John-B Kim: Okay. Super helpful. And if I could ask again just on kind of the cost efficiency programs where we are there within the division and what levers you're looking to throw from here?
Hakan Folin: Yes. So in the BA Equipment & Service, it's -- they are not as large and as tangible as they are within the other BA where we are closing a number of factories. Within Equipment & Service, it's more general efficiency within our service operations. It's also making sure that we are efficient within our administration costs. And we are also working, as I believe we mentioned in the last call, we are consolidating a number of customer centers in order to make sure we are being as efficient in how we serve our customers as well. So they are not as large intangibles to say, now we close one factory, we're going to see a big impact from that. But we are not happy with where we are from a margin point of view for E&S, and therefore, we are taking a number of action there as well. So sorry, just to finalize on that. If you look at the development, the organic development for Tools & Attachment was, of course, very strong in the quarter. And we started with taking more actions in Tools & Attachment earlier where we had deteriorating margins, while we are -- you can say -- you can call it that we are a bit later in the same process for Equipment & Service. So there should be more to come in terms of efficiency improvements for Equipment & Service.
Operator: The next question comes from Chitrita Sinha from JPMorgan.
Chitrita Sinha: I have 3, please. So the first one is just on the new construction guide. Could you just give a bit more color on how this has changed sequentially, especially in attachments given your unchanged comments on a destock amongst customers? And then should we expect a quicker pickup in attachments and therefore, a shift of mix towards higher attachments in the next quarter?
Helena Hedblom: So if we -- there has been clearly a slow demand for -- towards the construction market for almost 2 years now. And on top of that, we have had this inventory reduction happening in our indirect channels that we have seen gradually now during the year has come to an end, meaning then that we get the true demand picture into our factories and into Epiroc. What we have seen is that we -- the dealers are more -- slightly more optimistic. We are -- here, we -- of course, the big market for us here is U.S. and it is Europe. And we see a slight improvement in demand or we expect a slight improvement in underlying activity levels, but of course, from a low level. So that's how you should read it. It has been, of course, still it's a low level, but it's -- we start to see increased activities from a low level, which, of course, is good.
Chitrita Sinha: Sorry. And then just a follow-up, just on -- is there a shift in attachments going forward, given the comments there? I mean -- or is it going to be a similar sort of rate of improvement?
Helena Hedblom: No. So no, it's -- I would say, the offering we're having, so it's the same type of product. So it's the same I say, mix of attachments. But of course, that has been I would say, burdened the growth for us for quite some quarters. Of course, with a slight pickup in activity level, we should then get that demand into our factories, given that we're successful in capturing that growth, of course, but I think we are prepared for that now with the consolidation we have taken as well.
Chitrita Sinha: Very helpful. And then my second question is on the T&A margin, similar to John's question on E&S. Could you please explain the moving parts sequentially? And then I guess, how should we think about a step-up in the savings from efficiency program coming through, especially in H1 as volumes recover?
Hakan Folin: Yes. So within -- as I mentioned when we talked about Equipment & Service within Tools & Attachments, we have taken more actions earlier than we have done in Equipment & Service. And therefore, we are seeing more of the result in the P&L as well. I think if we look at it -- I know you asked sequentially, but if we look at year-over-year, that's when we see the really big improvements coming from that we have consolidated factories. We have significantly less under absorption in Q4 this year than what we had in Q4 2024. Then sequentially, of course, the difference is a bit smaller. We are now at 12.3%. We were at 12.9% in Q2, 11.6% in Q3. So it's not a huge difference, but it is that we are seeing a bit more of the savings coming through also in Q4 this year compared to Q3.
Helena Hedblom: And then maybe we could say as well that the consolidation of Essen and Kalmar, that has happened now during Q4. And of course, part of those savings, we can see in the P&L, but not the full savings. So of course, that we should start to see now moving into 2026.
Hakan Folin: But then just as a word on -- for T&A, I mentioned when I presented also the development of the tungsten prices, which then we expect to be a bit of a headwind for this business area.
Chitrita Sinha: Perfect. And my final question is just a quick one on nickel. Do you expect any positive development outside Indonesia given the price move?
Helena Hedblom: I think it has been, as I say, the prices have moved now recently, and that's, of course, good. What we have seen with the customers where we have existing fleet in nickel, those machines are still -- some of those mines are still under care maintenance. So part of the fleet is still parked. So we have not seen an uptick in activity levels so far in Q4. But of course, if prices stabilize and continues up even more, then, of course, more nickel mines will then start to be reactivated again.
Operator: The next question comes from Edward Hussey from UBS.
Edward Hussey: So yes, just first one, can you give us a bit more color on how material the impact from tungsten could be in 2026? Any color on the magnitude would be massively helpful. And then could you also just explain why this hasn't been a headwind so far? Is there some kind of lagged effect on input costs?
Hakan Folin: If we start with the second -- yes, it's a lag effect. Prices have increased. But of course, we are sitting -- we have contracts and we are sitting on some inventory. So therefore, we haven't seen a material impact so far, but it will come now gradually starting basically from now. And then I mentioned that it will be a few tens of percentage points on the Tools & Attachment business area. That is our best estimate at the moment. It, of course, depends on our ability to raise prices with customers as well. But everyone is in -- all our competitors are in a similar situation. So we expect competition to act in the same way.
Edward Hussey: Okay. That's very helpful. And then just my final question, just on service growth at 6%. So you achieved this, I mean, despite a large order headwind in the digital business. But I guess, at the same time, maybe the nickel headwind is perhaps dissipated and the DRC is abating. I guess the question is, I mean, if I look at Q1 to Q3, where you averaged 2% growth, if you were to have excluded the DRC and nickel impact, would sort of 6% or higher have been more the growth rate we should have thought about if those headwinds hadn't existed?
Helena Hedblom: I think it's -- if we look on -- as we mentioned, the nickel started to go down already in Q4 2024, and we had impact throughout the year. And we shared the numbers there last quarter, of course, majority of that drop is aftermarket. So that's a couple of percentage if that would not have been the case. Then the seismic activities in DRC, Kamoa being our largest account in that country, of course, that has also had a material impact. So I think you're not that far off in those assumptions. And if I look on where we are right now, as I say, we still in Q4, see the headwind from the nickel activities is still -- has not improved. Last year, yes -- or 2024, yes, we had this large -- 2 large equipment or deals on digital. And I would say that the activity levels in DRC is coming back step by step. So that's -- it's going in the right direction. So that's the starting point right now.
Operator: The next question comes from [indiscernible]. The next question comes from Christian Hinderaker from Goldman Sachs.
Christian Hinderaker: Maybe I can come back to the E&S margin bridge, if that's okay. If we strip out Roy Hill from Q3, I think that margins are down sequentially 20 basis points as of today. I guess curious as what drove that effect. We know tariffs effectively, as I understand it, unchanged in impact. I know you guided previously that they would be less of a headwind in Q4 than Q3. And you've said that the mix in terms of E versus S has not changed. So I guess trying to understand why margins are down sequentially.
Hakan Folin: Well, first of all, Christian, I would say they are up sequentially. And then your assumption on ASI Mining, we didn't specify exactly what it was. We said it was negative -- below average for Equipment & Service. But we also have a negative mix effect. If you compare quarter -- Q3 over Q3 -- sorry, Q3 over Q4, if we look year-over-year, we have the same share of equipment versus service. But if you compare Q4 to Q3, we have somewhat higher equipment than we have 47% equipment in Q4, and we have 45% in Q3. On tariffs, they are slightly lower in Q4. We said around 0.5% in Q3, and now we say slightly below 0.5%. So that's relatively unchanged. But mix is definitely one factor between equipment and service.
Christian Hinderaker: Okay. But was mix not better because you said the strongest growth you saw in service was from parts and spares. So was the service mix not a positive?
Hakan Folin: Now we're talking 2 things there, Christian. One is that we're talking about orders. That's when we said that orders for -- within service was more traditional service. And then that is comparing Q4 with Q4 last year. And if I heard you correctly, I think your question was Q4 versus Q3, correct?
Christian Hinderaker: That's right.
Hakan Folin: And the mix that I'm trying to say is on revenue. So in Q4 now, we had 47% revenue coming from equipment versus 45% in Q3.
Christian Hinderaker: Okay. Maybe if we go to the tariff effect, I guess, I appreciate there's maybe a bit of decimal points here, but you guided last quarter, there would be less of an effect in the fourth quarter. I guess North American growth was the strongest by region. As we think about the book-to-bill or more specifically, you had 20% order growth in North America and 9% sales growth at the group level. On that basis, should we then be expecting an increased tariff effect as we look into 2026? Or do you think that you can mitigate that and so the tariff effect is either flat or down?
Helena Hedblom: I don't think you -- North America, it's not U.S. So we have some -- Canada is contributing very strongly in the quarter as well. So I think you can -- it should not increase. It should go -- tariff impact should go down.
Hakan Folin: If you look at tariffs as a percentage of revenue, it should be lower in 2026 than what it's been in the last 2 quarters of 2025.
Christian Hinderaker: Okay. That's very helpful. And then maybe just a final short one. You mentioned the large service order already did on the fourth quarter of 2024. Can you just remind us when that -- has that been delivered or that's still to come in digital 2 orders?
Helena Hedblom: That has been delivered. So that connectivity solutions.
Operator: The next question comes from Klas Bergelind from Citi.
Klas Bergelind: Hope you can hear me now. Just to follow up there on the service growth, looking at orders of 6% growth. You did that still despite having pretty big headwinds from nickel and DRC. And during the last conference call in October, we talked a lot about the issues with the slippage of customer share. Now we have 6% growth all of a sudden, which is nearly 8% to 9% ex nickel and DRC in my numbers. The customer share don't move that quickly. So I was wondering what happened? Was there any sort of easy comp in a certain country? Or is the 6% sort of a new level and then add back nickel and DRC?
Helena Hedblom: We have been working on growing our customer share a long time. The nickel impact is still there, so that is still a headwind. DRC is coming back step by step. So that is moving in the right direction. But we have the strategy to capture customer share, we have a number of initiatives ongoing. So it's both to work on, of course, on the pricing side, to be more precise. We have developed an alternative offering to capture certain customer types and certain segments as well as sourcing them in a more optimal way to be, let's say, competitive for certain segments. So there's a lot of activities ongoing. And as I've been saying over the years to be more and more precise in how we run our, let's say, the service business and how to capture that potential that is there, the unserved part of the fleet that is a great opportunity for us. So I'm pleased to see the, I would say, the growth. So it's -- when I look at, let's say, the different countries or entities, it's nothing standing out as being extraordinary in these numbers. It's healthy, of course, healthy activity levels as well, especially towards copper and gold, of course, the activity levels is high, but also some larger rebuilds, et cetera. So I'm pleased to see that our efforts are giving results.
Klas Bergelind: That's good to hear. So my second one is on capital allocation. You say that you will do bolt-ons and that you were not that active in '25, it will be higher activity in '26. I'm just trying to understand where the gaps are. Obviously, mine planning, for example, is an area where you could get stronger versus some of your peers. I'm just trying to understand the margin profile because when you say that you will do more M&A in '26, Helena, I was under the impression you to improve the margin in what you acquired first before doing more M&A? Or are you targeting more margin segments? I mean mine planning, for example, is one of those areas where the margins typically are quite high. So just understand a bit in terms of the margin profile of where you want to go.
Helena Hedblom: Yes. No, it's more core products where there are some gaps close to the core that we have always had. So it's -- and aftermarket, I would say. There's always opportunities to capture customer share as well in the aftermarket. So it's more -- it's close to core, not maybe further out and maybe not so much related to new technologies. I think we have a very comprehensive offering. And there, to your point, we have -- we should leverage organic growth from all these acquisitions that we have done over the years and get the synergies from those acquisitions. It's more close to the core products -- physical products and aftermarket, say, parts and service.
Klas Bergelind: Okay. That's good. A quick and final one is on the digital offering, just to sort of connect there. And obviously, you need more units here to scale that business and get the margin up. And having spent time with you on the road and from feedback from investor meetings recently, the message seems like that you underestimated how quickly you could ramp mixed fleet, Plan and Protect around Radlink, et cetera. You didn't have the right people in place to sell these solutions. That seems to be changing now to the better. You now have Jess Kindler running E&S. Can you please talk, Helena, how you think -- if you think that you're a pivot point in terms of being able to ramp the units higher here in digital. Certainly, it seems like there is a lot of interest from your customers, but curious to hear.
Helena Hedblom: No. But this is, of course, one of the rationale as well behind creating the business areas that we have done because now we have one leader that can then make sure that we make sure that we bring in our digital offering into all the large tenders we have for equipment, for example, or where we have the largest fleet or the largest contracts already for parts and service. So a lot of the digital offering that we have built over the years, of course, first, it's a number of companies. And then from those companies, you develop an offering, and that is done now. So we have one offering now that is an Epiroc offering. And then to scale that through our customer centers and leverage the strength of the installed base we're having the strong customer relationship, the big deals, that's what I'm -- that's the task now of Jess Kindler.
Operator: The next question comes from Alexander Jones from BofA.
Alexander Jones: The first, if I can, just back on the Tools & Attachment margin. Clearly, quite a strong organic contribution to the profit bridge year-on-year. Are you able to give us a sense of how much of that was the efficiency measures compared to the drop-through volume growth or other organic elements in the bridge?
Hakan Folin: I would say quite a large portion was related -- the majority of the portion was related to efficiency measures. Of course, we had organic growth in terms of revenue as well, but the majority was actually efficiency measure. I would say especially less under absorption given that the attachment business especially has been weak, most of the actions taken -- a lot of the actions relate to attachment and also then making sure we are more efficient in our production footprint, and that has yielded results now in the last few quarters.
Alexander Jones: Okay. And then maybe one follow-up on the tungsten point. Can you give us a share of costs of the division, if that's a number that you have to hand of tungsten, just so we can sort of play with the sensitivities as the tungsten price continues to move around?
Hakan Folin: No, I think we stick with what we said that our best estimation right now is that we are looking at the potential headwind of a few percentage points on the business area margin -- sorry, a few tens of percentage points during 2026.
Operator: The next question comes from Magnus Kruber from Nordea.
Magnus Kruber: Magnus here from Nordea. Continuing on the questions around the efficiencies in Tools & Attachments there, it's obviously a very solid tailwind you had now in this quarter, if that's right, majority of it coming from that. Can you help us a little bit with how we should expect this to develop in the EBIT margin bridge for the coming quarters? Is that tailwind going to ease here going forward? Or are we sort of having more to come from that?
Helena Hedblom: But I think we -- if I look -- of course, some of the actions we have full effect in the P&L in Q4, for example. But there are those activity levels -- activities like the closure of Essen, for example, that happened physically, the move happened in Q4. Of course, we have -- you start to downsize a site earlier before you move the equipment, but that's an upside moving into 2026 now. So -- and then, of course, in -- we have also announced the closure of the Langley site that's also in this business area. So also that will happen even though it will be later this year.
Hakan Folin: But if you mean, Magnus, if it's going to ease, like are we going to see 5.2 percentage points every quarter? No, we're not. But there's actually -- but if your question is more, is there more to come, yes, there's still some more to come given then the full impact of Essen, which should come and then later on, more rather 2027 also then this closure of the factory in Canada moving into Mexico instead.
Magnus Kruber: Okay. Got it. And then separately, I noted you didn't have any sort of publicly announced orders in Q4, but still the large order is pretty healthy in that context. Could you talk a little bit about the outlook for large orders going forward? Is it improving? Or do you expect a stable development?
Helena Hedblom: We expect a stable development. When I look at the business cooking, which is -- we measure it 18 -- the projects that are in the pipeline in the coming 18 months. It's a healthy number of projects across, I would say, the different commodities, a lot towards copper and gold, also replacement towards iron ore. But majority is brownfield expansion and replacement of existing fleet. Not that some greenfields, but majority, we don't see like a booming greenfields. I think that will happen step by step over the coming years, but a healthy pipeline.
Magnus Kruber: And do you see the project economics of some of the more sort of easy greenfield projects? Is that sort of improving with the recent uptick in copper prices or...
Helena Hedblom: Yes. Of course, if the price stays on this level, of course, it incentivize those type of decisions as well as gold.
Operator: The next question comes from James Moore from Rothschild & Co Redburn.
James Moore: Can I just follow up on 2 topics. On the Equipment & Service margin, if you're down 60 bps organically and you mentioned the 50 bps tariff impact, it would sound to me like the majority of the decline related to that. I just wonder whether you think you can pass that on and what the timing of that would look like? And I guess tied to that, how is pricing? You talk about specific actions. But could you quantify whether order pricing has sort of moved up? Is this a lag that you're just behind the curve and you'll pass it on? Or is that demonstrative of actually facing some net negative? And then I'll tag on a second one, if I can.
Helena Hedblom: But I think there is a price component, of course, when it comes to tariffs, there is a lead time in -- but it also depends on in a quarter, it can depend on how much you move into a country during that quarter, for example. So -- but of course, there is -- there has been a time lag in our ability really to increase prices even though we have compensated for part of the tariffs, but more work is ongoing.
James Moore: Okay. And one other on Equipment & Service. Could you say whether the decline in margin was similar in service to equipment or whether one of them has come down more?
Karin Larsson: On the tariffs, sir?
James Moore: No, on the margin.
Helena Hedblom: No, we will not comment on that. But we continue to focus on improving the overall performance of the business area of the segment.
James Moore: Great. And if I could try one on Digital Solutions. Would it be possible to roughly quantify the organic order growth and organic sales growth for the full year of '25 for DS? And could you say whether the margin dilution that you had in the full year was similar to less than or more than that, that you had in 2024 when that was a topic.
Helena Hedblom: So orders in 2025 was less than orders 2024.
Hakan Folin: Partly because we have this, as we talked about before on the call, these 2 large connectivity orders in Q4.
Helena Hedblom: Then a lot of -- on the efficiency, of course, there, we're working on efficiency as well. But I think for digital, it's more about scaling and making sure to leverage the, I would say, the different solutions now and leverage our footprint in -- among customers to really grow the top line.
Karin Larsson: So with that, I have to interrupt unfortunately. James, you can give Alexander and myself a call later. We can further debate this. Thank you, everyone, for dialing in. We have taken a list of the names that are remaining. We will call you. Thanks very much, and don't forget to sign up for the CMD.
Helena Hedblom: Thank you, everyone.
Hakan Folin: Thank you very much.